Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Eastman Kodak First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session and instructions will follow at that time. [Operator Instructions] I would now like to introduce your host for today's presentation, Mr. Bill Love. Sir, please begin.
Bill Love: Thank you, Howard and good afternoon, everyone. I am Bill Love, Eastman Kodak Company's Treasurer and Director of Investor Relations. Welcome to Kodak's first quarter 2019 earnings call. At 4:15 PM this afternoon, Kodak filed its quarterly report on Form 10-Q and issued its release on financial results for the first quarter of 2019. You may access the presentation and webcast for today's call on our Investor Center at investor.kodak.com. During today's call, we will be making certain forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. All forward-looking statements are based upon Kodak's expectations and various assumptions. Future events or results may differ from those anticipated or expressed in the forward-looking statements. Important factors that could cause actual events or results to differ materially from these forward-looking statements include, among others the risks, uncertainties and other factors described in more detail in Kodak's filings with the U.S. Securities and Exchange Commission from time-to-time. There may be other factors that may cause Kodak's actual results to differ materially from the forward-looking statements. All forward-looking statements attributable to Kodak or persons acting on its behalf apply only as of the date of this presentation and are expressly qualified in their entirety by the cautionary statements included or referenced in this presentation. Kodak undertakes no obligation to update or revise forward-looking statements to reflect the events or circumstances that may arise after the date made or to reflect the occurrence of unanticipated events. In addition, the release just issued and the presentation provided contains certain measures that are deemed non-GAAP measures. Reconciliations to the most directly comparable GAAP measures have been provided with the release and with the presentation on our website, in our Investor Center at investor.kodak.com. Speakers on today's call are Jim Continenza, Kodak's Executive Chairman and David Bullwinkle, Chief Financial Officer of Kodak. I will now turn the call over to Jim.
Jim Continenza: Thank you, Bill. Good evening, everyone. Thank you for joining. I welcome everyone to our first quarter investor call for Kodak. The company has completed the sale of our Flexographic Packaging Division on April 8th as communicated. It has used the proceeds to repay $312 million of the long-term loans outstanding under the Company's first lien term credit agreement. We have significantly improved our balance sheet with the completion of the transaction and the related pay down of the debt. The company has also been engaged in negotiations to refinance a portion of the first lien term loans that was not paid from the proceeds, from the FPD sales.  We expect to complete the refinancing by the end of the month. Our priority has been to strengthen the balance sheet of the company's financial position through the completion of the sale of FPD and the refinancing of the remaining term debt. As we approach the completion of the refinancing, I am increasing my focus on the business operations and generating cash. The company will concentrate on the core competencies of advanced and applied materials, with an emphasis in printing and imaging industries. This will shape the structure of the management team and provide a better alignment with our customers' needs.  We are in the process of revisiting our reporting structure and we'll be announcing changes to our reporting structure within the second quarter of 2019. I will now turn it over to Dave to discuss the first quarter financial results.
David Bullwinkle: Thanks, Jim and good afternoon. Today, the company filed its form 10-Q for the quarter ended March 31 2019 with the Securities and Exchange Commission. As I always do, I recommend you read this filing in its entirety. As Jim mentioned, on April 8, the company completed the sale of its Flexographic Packaging Division to Montagu Private Equity LLP. Proceeds of the close were approximately $320 million, which included the gross purchase price of $340 million less agreed indebtedness, other items and delayed proceeds related to a deferred closed entity. The net proceeds from the transaction have been used to repay $312 million of our outstanding term debt. The company expects to refinance the remaining outstanding term debt by the end of this month. We are not able to provide any additional details at this time. The loans made under the term credit agreement mature on September 3, 2019. I will now share further details on the company's results, operational EBITDA and cash flow results for the first quarter. Please note the results of FPD have been reported as discontinued operations for the quarter ended March 31, 2019 and the comparable 2018 period due to the sale of the division. On Slide 4, as we reported in our earnings release, our financial results were a net loss of $18 million for the first quarter compared to a net loss of $25 million in the prior year quarter. The 2019 and 2018 first quarter results include expense of $1 million and $14 million respectively, related to changes in value for the derivative embedded in the Series A preferred stock. Excluding this current and prior year item, the loss for 2019 was $17 million compared to a loss of $11 million in the prior year quarter. Turning to Slide 5, for the first quarter, we reported revenues of $291 million, compared to $318 million in the prior year quarter, for a decline of 8%. On a constant currency basis, revenue declined by 5%. Operational EBIDTA for the quarter was a negative $6 million compared to a negative $9 million in the prior year quarter. Excluding the favorable impact of aluminum costs, operational EBITDA improved by $2 million or 22%. Foreign exchange did not have an impact on operational EBIDTA. We delivered strong performance in our key growth engines. Volumes for SONORA Process Free Plates grew by 22% and the annuity revenue for PROSPER grew by 12%. The profitable growth of these products accelerated as compared to the full year 2018 during which SONORA Plates' volume grew by 19% and PROSPER annuities grew by 8%. We also continue to invest in future growth areas of ULTRASTREAM and Advanced Materials. Moving on to the company cash performance presented on Slide 6, the company ended the first quarter with $240 million in cash and cash equivalents, a decrease of $6 million from December 31, 2018. As noted on our last call, $14 million of proceeds from a non-recurring transaction were received in January of 2019. Cash used in operating activities was $12 million, driven primarily by a change in working capital of $28 million and a decrease in other liabilities of $27 million. Accounts payable increased by $14 million. Inventory increased by $11 million and accounts receivable decreased by $25 million compared to December 31, 2018. Cash used in investing activities was $3 million in the first quarter, as compared to a use of $10 million in the prior year period. The prior year included capital addition spend for the packaging, manufacturing, expansion in Weatherford, Oklahoma, which was completed and sold as a component of the packaging division. Cash provided by financing activities was $3 million in the quarter compared to a use of $4 million in the prior year period. Finally, as disclosed in our Form 10-Q, we remain in compliance with our financial covenants under our credit agreements. I will now turn the discussion back to Jim.
Jim Continenza: Thanks, Dave. In summary, completing the sale of our Flexo Packaging Division and using the net proceeds to significantly pay down our term debt was a major step forward, strengthening our financial position. Our focus has shifted to completing the refinancing and the remaining balance of the term loan and realigning our business to better serve the customer and generating free cash. We're going to go to the market and try to bring that Kodak as a one Kodak approach to the industry. With that, we're going to open the lines up now for any questions. Operator, please open the lines.
Operator: Yes sir. [Operator Instructions] We have a question or a comment from the line of Laurence Von from Reflex. Your line is open.
Laurence Von: Hi Jim. Hi David. My name is Laurence. I'm the founder of Reflex. We are actually in the business making a -- the new 35-millimeter in digital camera platform. And sorry to announce myself over here, but it was a bit hard to get through to you guys. But I was wondering if in one of the next few days, you might give me a little bit of time to explain what we're doing with the company?
David Bullwinkle: Sure, this is Dave. Hi. We will reach out to you or if you're already working with -- so I think I've heard your name from somebody else in the company. So we'll make a connection, for sure and happy to learn about what you're doing.
Laurence Von: Cool. I think I wrote to Jim on LinkedIn. I really don't want to take up much of your time, but I thought it would be interesting to just explain a little bit of what we're going to do over the next couple of months and yes, to just share our roadmap with you, with Kodak.
David Bullwinkle: Excellent. We'll follow up with you, for sure. Thank you very much.
Laurence Von: Okay. All right. Have a good afternoon.
David Bullwinkle: Thank you. You too.
Operator: Thank you. [Operator instructions] I'm showing no additional audio questions in the queue at this time, sir.
Jim Continenza: Great. Well, and thank you everyone. If you have any questions or comments, please send them in. We're open to answering anything. As we said, we're going through our transformation. And I know we said it several times on this call, I want to be crystal clear. We are going to continue to de-lever. We're going to put this company on a healthy track from a balance sheet and then focus on free cash flow. And on the business path, we're going to focus again on the Advanced and Applied Materials, which is truly the strength of what Kodak brings to the market and in that space, we're going to work on our key core competencies to compete. So more to come and we made some really great strides. Disposing off Flexo was a really big stride or move for Kodak. And we're excited about where we're going and we're excited about again, by delivering and unleashing the power of Kodak. So, I want to thank everyone for dialing in. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.